Operator: Greetings. Welcome to the Sportsman’s Warehouse Second Quarter 2022 Earnings Call. [Operator Instructions] Please note that this conference is being recorded. I will now turn the conference over to your host, Riley Timmer. You may begin.
Riley Timmer: Thank you, operator. With me on the call today is Jon Barker, Chief Executive Officer; and Jeff White, Chief Financial Officer of Sportsman’s Warehouse. I will now remind everyone of the company’s Safe Harbor language. The statements we make today will contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, which includes statements regarding our expectations about our future results of operations, demand for our products and growth of our industry. Actual future results may differ materially from those suggested in such statements due to a number of risks and uncertainties, including those described under the caption Risk Factors in the company’s most recent Form 10-K and the company’s other filings made with the SEC. We will also disclose non-GAAP financial measures during today’s call. Definitions of such non-GAAP measures as well as reconciliations to the most directly comparable GAAP financial measures are provided as supplemental financial information in our press release included as Exhibit 99.1 to the Form 8-K we finished to the SEC today, which is also available on the Investor Relations section of our website at sportsmans.com. I would also like to note that today’s materials include an earnings conference call PowerPoint presentation, which is available at sportsmans.com in the Investor Relations section of the website. You can utilize this deck as a reference with today’s prepared remarks. I will now turn the call over to Jon Barker, our CEO.
Jon Barker: Thank you, Riley. Good afternoon to everyone on the call and thank you for joining us today. I will begin by reviewing the highlights of our second quarter performance, comment on the current trends we are seeing with our consumers, and review a few key elements of the growth strategy for our omnichannel business model. Following my comments, Jeff will provide additional details on our second quarter results as well as discuss our outlook for the third quarter of 2022. Finally, we will open up the call for questions. Our second quarter results were stronger than we originally anticipated, exceeding the high end of our guidance for both sales and earnings per share. To highlight the overall strength of our business, we will compare certain financial and non-financial metrics to our 2019 results. The ongoing participation in the outdoors is greater than it’s been in decades and whether it’s hiking, camping or hunting, we continue to see strong demand for the merchandise consumers’ need to enjoy these outdoor activities. For example, according to KOA’s 2022 camping report, 40% of all leisure travel in North America involved a camping trip. Leisure travelers have found a new form of recreating, which for many is now the preferred method of choice for their travel. Stats such as these increase our confidence in the future. And while 2020 and 2021 were aided by people forced to stay close to home, the new norm for many now includes participating in some form of outdoor activity. Now turning to performance. In the second quarter, same-store sales performed slightly better than guidance, down about 10% compared to the second quarter of 2021. As compared to the second quarter of 2019, same-store sales were up nearly 32%. Our hunting category performed above expectations during the second quarter, driven by sales of firearms in certain categories, which benefited from political rhetoric and elevated media exposure. Other categories of firearms such as centerfire rifles continue to perform well. Seasonal demand for these products remains strong as consumers continue to participate in outdoor activities such as hunting and shooting sports. Comparing our hunting and shooting category to 2019, it has increased 61%. This reflects both an increase in participation and additional market share capture. Ammunition sales were very strong during the quarter as certain ammo types came back in stock after nearly 2 years of supply shortages. These improvements help drive traffic to both our stores and our website. Through operating execution and industry market share gains, our ammo sales were up 82% versus 2019. We continue to focus our efforts on serving our customers to capitalize on this ammo demand by leveraging our omnichannel capabilities. Moving on to other categories, we are pleased with our apparel and footwear category performance in relation to the overall performance of the business. We continued to improve our merchandising efforts in this category to expand both our in-store and online assortment. As we expand our vendor base, we were able to leverage our omnichannel capabilities, allowing us to acquire and retain customers through increased assortment with limited investments in inventory. Compared to 2019, apparel is up 21% and footwear is up 25%. Along these same lines, we are making good progress expanding our private label program with our first hunting boot coming to market in the next few weeks, just in time for the core hunting season. We are also excited to launch a new technical camouflage pattern within the Killik premium brand. This pattern is designed to be used in a variety of geographies. By leveraging our private brands to fill in our good, better, best merchandising strategy, we continue to serve all levels of consumers. These initiatives support our long-term strategy of building a high single-digit penetrated private brand business. Transitioning to the progress within our supply chain, while many large retailers have communicated elevated inventories causing significant markdowns within certain categories, we are comfortable with the overall health of our inventory. Although we are not 100% insulated, a large portion of what we carry as hard goods that are not exposed to seasonal trends or at risk of going out of fashion. The team has done a great job of managing our supply chain to keep our in-stock positions healthy in key product categories while managing inventory levels to meet changing consumer demand trends. It’s important that we are well positioned to support the seasonal needs of our customers, while not overweighting us in areas where discounting maybe needed to flush through excess inventory. As the majority of our inventory is purchased through vendors, this provides us the flexibility to quickly adjust to changes in demand. Given our investments over the last few years in technology and omnichannel capabilities, we continue to increase the leverage of our existing store footprint through forward deployment of inventory. Over 70% of our online sales during Q2 were serviced through our stores and drop-ship partners. This allows us to serve the customer faster, while managing expenses through reduced freight and labor. The success of this initiative will allow us to gain 1 additional year from our existing distribution center, pushing the permanent need for a second distribution center into 2024. Looking ahead to Q3, we have several exciting new growth initiatives coming soon that are both e-com and digitally focused to acquire more consumers and capture additional market share. During this quarter, we are launching knives.com, a new online-only brand. This e-com expansion will allow us to leverage our existing inventory and infrastructure, offering a premier range of top quality knives and cutlery. This will include premium brands and a user-friendly shopping experience with featured products and special curations, endorsed by industry experts and relatable influencers. We are excited about this organic go-to-market strategy to attract an adjacent customer that expands beyond our current reach. During the third quarter, we expect to add 4 new stores to our fleet, bringing our total to 130 stores in 30 states before the holiday season. This will include our 16th store in California, our eighth store in Colorado, our second store in the state of Florida and our first ever store in the state of Ohio. We also expect to open 1 additional store in early Q4. With these 5 new stores, we will open a total of 9 during calendar 2022. Given the timing of construction, our 10th store will likely push into 2023. As we have mentioned in the past, we have a robust funnel of real estate and development and remain committed to executing on our store footprint growth. We have a strategically unique formula for expanding our geographic reach through our flexible store format, providing us the opportunity to continue to be the fastest growing outdoor retailer in the country. In closing, we remain confident in both the short and long-term growth strategies of Sportsman’s Warehouse. Leveraging our knowledgeable associates, flexible store formats and fast growing website, is key to maintaining our position as the premier outdoor specialty retailer. Our company has never been stronger and better positioned to successfully navigate a macro environment like we are in today. With that said, I will turn the call over to Jeff to review our second quarter 2022 results and discuss our Q3 guidance.
Jeff White: Thank you, Jon. I will begin my remarks today with a review of our second quarter fiscal 2022 financial results. I will then review our outlook for the third quarter of 2022. Net sales for the second quarter of fiscal 2022 were $351 million compared to $361.8 million in the second quarter of 2021, a decrease of 3% over the prior year period, but above the high-end of our guidance. This decrease was primarily driven by lower demand from consumer inflationary pressures partially offset by the opening of 12 new stores since July 31, 2021. Same-store sales decreased 9.4% in the quarter compared with the same quarter of the prior year. This decrease was primarily driven by lower sales demand across our product categories due to inflationary pressures and tough year-over-year comps. Comparing our same-store sales results to the second quarter of 2019, we were up 31.7%. We saw double-digit increases in the following categories as compared to Q2 2019, with hunting up 60.9%, footwear up 25%, apparel up 20.7%, camping up 19.8%, and optics, electronics and accessories up 10.5%. These trends provide us continued confidence that our overall customer base has had a step function increase and continues to be very healthy. Second quarter 2022 gross profit was $117.5 million compared to $120.1 million in the second quarter of 2021, a decrease of $2.6 million. Gross margin percentage was 33.5% for the quarter, an improvement of 30 basis points versus the prior year comparable period. This year-over-year improvement was due to improved shipping, freight and logistical expenses as we slowed inventory receipts in response to changing consumer demand. We anticipate continued improvements to our gross margins during the back half of 2022 as we continue to have easier comps on freight and work on other operational efficiencies. SG&A expense of $97 million for the second quarter of 2022 was an increase of $1.1 million or 1.2% compared to the second quarter of the prior year. As a percentage of net sales, SG&A expense increased to 27.6% compared to 26.5% in the second quarter of the prior year. This increase was primarily driven by resuming our normal marketing and travel-related activities during the quarter and new store opening expenses. During the quarter, the store operations team adapted quickly to changes in consumer demand, decreasing our variable operating costs, which helped to offset our SG&A expense in the quarter. We will continue to closely manage our non-fixed operating costs on a store-by-store basis to keep expenses in balance with our sales. Income from operations was $20.5 million in the second quarter of 2022 compared to $24.2 million in the prior year period, a decrease of $3.7 million. Net income for the second quarter was $14.6 million or $0.35 per diluted share as compared to net income of $17.7 million or $0.40 per diluted share in the prior year period. Adjusted net income in the second quarter of 2022 was $15.1 million or $0.36 per diluted share compared to adjusted net income of $19.5 million or $0.44 per diluted share in the second quarter of the prior year. Adjusted EBITDA for the second quarter of 2022 was $30.6 million or 8.7% of net sales compared to $35.2 million or 9.7% of net sales in the prior year period. Turning to our balance sheet and liquidity. Second quarter 2022 ending inventory was $437.4 million compared to $436.4 million at the end of the first quarter of 2022. As we look at inventory, our level of reserves as an overall percentage of gross inventory remains consistent to where we have run historically. This provides us comfort in the overall health of our inventory, and we are confident we are in a solid position to serve our customers’ needs. Looking at cash flow for the first half of 2022. Cash provided by operating activities was $8 million versus cash used in operating activities of $67.8 million for the first 6 months of 2021. This increase in our cash inflows was due to the normalization of our inventory levels versus the buildup needed during the prior year 6-month period in 2021. Our liquidity continues to be strong as we ended the second quarter of 2022 with $105.7 million outstanding on our line of credit. With our new credit agreement in place, we have approximately $203 million available under our facility. During the second quarter, we successfully executed on our share buyback program, repurchasing a total of 5.3 million shares in the open market. Utilizing our cash on hand, we were able to return $52.1 million of capital to our shareholders. The low stock price we purchased the shares at relative to the intrinsic value of this company resulted in approximately 12% of the shares outstanding being removed from the market. At the end of the quarter, we have approximately $22.9 million remaining under the authorized share repurchase program, and we will continue to opportunistically execute in the open market. Turning now to our guidance, starting with our net sales outlook. We estimate third quarter net sales to be in the range of $345 million to $365 million. Same-store sales in the third quarter of 2022 are anticipated to be in the range of down 17% to down 12%, and adjusted EPS for the third quarter of 2022 is expected to be in the range of $0.24 to $0.32 per diluted share. This guidance considers the current inflationary pressures on consumers, which are specifically impacting our higher ticket items where the trade-up cycle has slowed. To give you some additional perspectives on the full year, as Jon mentioned, we currently expect a total of nine new stores to be opened before the holiday season in 2022, with four stores scheduled to open in Q3 and one store in early Q4. Given construction constraints, we expect the 10th store to slide to early 2023. For the back half of the year, we anticipate that the trade-up cycle will continue to see pressure, specifically on high ticket durable goods. As we have shown over the last few quarters, we expect continued improvements to our gross margins, coupled with disciplined management of our variable operating expenses. While we will see a difficult macroeconomic landscape for the back half of 2022, we remain confident in our ability to achieve our target of high single-digit adjusted EBITDA margins for the full year. That concludes our prepared remarks today. With that, I will now turn the call back over to the operator to facilitate any questions.
Operator: [Operator Instructions] Our first question is from Ryan Sigdahl with Craig-Hallum Capital Group. Please proceed with your question. 
Ryan Sigdahl: Good afternoon, guys. Thanks for taking my questions.
Jon Barker: Hi, Ryan.
Ryan Sigdahl: Maybe I want to start with the – we will start with guidance kind of where you finished start there. So you’re maintaining the high single-digit EBITDA margin for the year. Assuming the weaker Q3, I guess, it implies a nice balance back in Q4. There is a wide range of what high-single-digit can mean. But can you talk through, I guess, what’s built into that expectation from Q3 to Q4?
Jeff White: Yes, Ryan, this is Jeff. It’s a good question. We define high-single EBITDA margins of 7% to 9%. And as we’ve shown throughout the first half of the year, we’re – even with the sales being lower than expected or lower than our prior year, we’ve been able to maintain in that range of high-single EBITDA margins. As we look to the Q3 guidance, given where sales came in and then looking at our ability to manage our variable expenses, we felt confident in reiterating that guidance of being able to achieve the target of high-single EBITDA margins as we continue to refine and really hone in on our operating expenses, especially the variable pieces that we do have.
Ryan Sigdahl: Great. And then maybe can you talk through trends in the quarter, just kind of month-to-month and then also what you have seen in the August, I guess, relative to the overall business. And then I know you mentioned the big ticket items were a bit slower last quarter. So it sounds like a continuation there. But just any kind of directional change in trends throughout the quarter and subsequent months?
Jon Barker: Hi, Ryan, it’s Jon. As it relates to Q2 trends, we actually saw consistent trends across all categories, except firearms throughout the quarter as we had iterated or communicated in our last call, wrapping up Q1 and laying out Q2. The variance we did see was related to firearms and some accessories that were elevated for several weeks as an outcome from various regulatory discussions and political rhetoric and media coverage from events. Otherwise, the business performed very consistent week-to-week throughout Q2.
Jeff White: Ryan, this is Jeff. As we thought about the Q3 guidance, I would tell you that the trends that we are seeing in the business led us to put out the guidance that we did. We have not seen a material change in consumer behavior, again, with a real focus on the durable goods and goods that are associated with trade up cycles. So we are continuing to see those headwinds in the consumer spending.
Ryan Sigdahl: So relatively similar trends in Q2 expected in Q3, excluding that kind of mini surge you saw in guns?
Jeff White: Yes, that’s the right way to look at it.
Ryan Sigdahl: Got it. One for me, and then I’ll turn it over to others. So big ticket items getting impacted, but what about the just within categories, the good, better, best assortments? Have you seen any trade down from consumers even on an apples-to-apples similar product?
Jeff White: I think we’ve seen less trade down cycles occur. I think what really is in the consumer right now, what’s happening is they are postponing the trade up cycle. So they are not necessarily trading down to a lesser priced item, they are just postponing the purchase overall. They have something that they can extend the life of for maybe another season. So they are just not purchasing it at all. Where we’re still seeing good trends, though, Ryan, is in the consumable side, which leads us to believe that participation is still very healthy. Obviously, ammo is the big call-out on consumables for the quarter, really good trends in ammo. But outside of the firearms business, within our camping category, let’s call – let’s look at it. Things like propane and fuels that are used in participation had very good trends during the quarter. So again, while we are seeing some hesitation or some timing on consumers’ upcycling to a higher end product, we are still seeing that they are coming in to buy the products that they used to participate.
Ryan Sigdahl: Makes sense. Thanks, Jon and Jeff, good luck, guys.
Jon Barker: Thanks, Ryan.
Operator: Our next question is from Eric Wold with B. Riley. Please proceed with your question.
Eric Wold: Thank you. So two questions. And you kind of hit on it at the end when you spoke about consumables, I wanted to hit on that. So is it fair to say that your kind of traffic is staying solid into the stores, people coming in, still consuming and still showing they are activity participating, but just not paying up for that trade up, which gives you some confidence that maybe once budgets free up a little bit, they would be coming back versus someone exiting the activity altogether. Is that fair?
Jon Barker: Yes, Eric, this is Jon. Generally, you’re accurate. I’ll share that our same-store sales – or same-store traffic numbers as compared to ‘19 still show really healthy business metrics. We are starting – as you communicated, the trade-up cycle is putting pressure on top line revenue as those customers visit. The other part of the business, the e-com business is still showing very, very strong traffic and actually growing year-over-year, quarter-over-quarter, and that part of the business continues to gain traction.
Eric Wold: Thanks. And then the second question. Obviously, you’ve taken advantage of what seems to be a dislocation between the stock price and your outlook for our participation and your position in that. Aside from the one store moving into early ‘23 construction, is there – I know you’re not talking about ‘23 just yet, but is there an opportunity to accelerate store developments in ‘23 or ‘24 kind of above historical levels to really take advantage of that outlook you’re seeing and positioning the company for further market share gains?
Jon Barker: Yes, Eric, again, Jon. You hit right on it. Look, we have some short-term headwinds that were directly related to macro – the macro environment. But as we think about the long-term opportunity to grow this business, store growth provides a significant opportunity in the coming years. We have laid out a few times for the investors how our flexible store format, our value-engineered facilities and our everyday low cost resonates with customers. And our funnel today, as we sit here, is well over 100 locations that we are looking at, with a path of 300 sites over the coming years. We haven’t laid out yet – or we won’t lay out on this call the exact number of stores for 2023 and beyond. But I can assure you, we are very optimistic on the opportunities in front of us to continue to grow stores.
Eric Wold: Helpful. Okay.
Jon Barker: Thanks Eric.
Operator: Our next question is from Mark Smith with Lake Street Capital Markets. Please proceed with your question.
Mark Smith: Hi guys. First question for me is, I want to dig just a little bit into August and ask about have we returned to historical kind of seasonality with August, I would assume being a weaker month and then the business really building as we go into September, October as we see weather shift and move in to key hunting season?
Jeff White: Yes. Mark, it’s a great question. I would tell you that from what we are seeing in the business, we have returned to normal seasonality. So, you can take the trends out of the last 2 years where we had a lot of event-driven demand. And if you look historically, pre-COVID at kind of the cycles of hunting, fishing seasons, the holidays, I feel like we are really going right back into that demand cycles, which is in my opinion, really well because it helps us plan the business, which is why we are very comfortable with the guidance that we gave for Q3 because we can adequately forecast the trends.
Mark Smith: Okay. And maybe remind us, if we think about maybe where August typically sits and ranked in the 12 months, I would assume it’s one of the lower volume months?
Jeff White: It’s on the lower side. You do have some hunts that are starting in early September, some archery hunts to start early September. So, you do get some lift from individuals coming in that are preparing for those archery hunts. But to your point, a lot of the big game rifle hunt start in the October timeframe. So, that really starts to ramp up in September and October.
Mark Smith: Okay. And then can you guys give us a quick update just as we think about spike camp store, other new stores kind of how they are performing out of the gate?
Jon Barker: Hey Mark, it’s Jon. We opened two spike camps this year. They are 9,300 square foot, value-engineered, ground-up construction. We opened one here in the State of Utah and 1 in Wyoming. Both of those stores, out of the gate, are showing exceptional performance against expectations. It provides us continued confidence in our ability to grow the brand using our flexible store format in both rural markets like Wyoming or in growing markets where there is a traffic or congestion issue like we did here in Utah. So, we are very excited about the spike camp opportunity in front of us.
Mark Smith: Okay. And it’s still too early to really speak about initial results?
Jon Barker: Yes. As far as numbers, it’s too early. We are not sharing specifics on the numbers, but I can tell you they are out of the gate, performing exceptionally well against our revenue and our hurdle rates in the first couple of months.
Mark Smith: Excellent. And I think the last one for me. You spoke about inventory and having comfort, it sounds like around kind of current inventory. Can you speak directly to ammunition kind of where we are at in the rebuild of ammo inventory and kind of your comfort level and then any thoughts on how pricing is holding up in that category?
Jon Barker: Great questions, Mark. As far as the key categories within the ammunition business, this is somewhat industry-wide, we have seen a return to supply on pistol ammo, promo 556 ammo and Rimfire equal to the demand. And that’s the first time we have seen this continuous demand – supply and demand for several years. It’s been 2019. So, we feel really good as an industry about those components of the business. On the centerfire hunting ammunition, which is again, very, very important to Sportsman’s Warehouse as we enter into the fall season. Our vendors and our partnership with those vendors, given our scale, has provided us with the opportunity to improve immensely over the last few weeks, and I am really proud of what the team has done and our vendors have done to help us get in stock for the hunting season. So, I am feeling better. It is not perfect, Mark, but I will give it a B or B+ on centerfire hunting. The area of the business that is – our industry is still struggling significantly is on shotgun shells across the board, whether that’s light loads for shooting sports like sporting play or target or ski or hunting ammunition, steel shot for waterfall, etcetera, we were woefully under inventoried as an industry and the demand curve is still – demand is still extremely high. So, if you ask me how much inventory relates probably $5 million to $10 million worth of inventory we are short as we sit here today in the centerfire hunting ammunition and primarily in the shotgun shell business. As we – to your second question on pricing, as we look at our primary core competitors, we have not seen significant pricing pressure at this time. We are watching closely on our checks across the nation, across the industry to ensure we are very well understanding of any pressures we might see at the top line as supply and demand returns to normal cycles.
Mark Smith: Prefect. Thank you, guys.
Operator: Our next question is from Justin Kleber with Robert W. Baird. Please proceed with your question.
Justin Kleber: Hi guys. It’s Justin Kleber. Thanks for taking the question. One of the first follow-up on the consumables commentary, are the units in those categories in aggregate up on a year-over-year basis? Certainly, it sounds like ammo is, but as you think about consumables holistically, are units up versus LY [ph]?
Jeff White: Justin, that’s a great question. This is Jeff. I would say that they are representing a larger portion of our business. I think given the large demand that we saw last year, those are tough comps. But as a percentage of the total business, it represents a larger portion of our business, which is leading us to still feel confident in participation and the usage of those.
Justin Kleber: Got it. Thanks Jeff, that’s helpful. Maybe a follow-up on – or a question on just your guidance, if I look at the midpoint of comp and the midpoint of total sales, the delta there is much narrower than what it’s been across the first half of the year. And store growth doesn’t look all that different, right, in terms of year-over-year percentage change. So, anything you can share on the timing of openings in 3Q, the size of the format, it would maybe be influencing that new store productivity calculation? And then just more broadly, how you guys are feeling about the performance of new stores opened up here over the last 12 months to 18 months?
Jeff White: Yes. I think both of your questions go hand-in-hand. We have been very pleased with the performance of our new store openings this year. Two of those, to Jon’s commentary, have been the 9,300 square foot spike camp formats in the beginning of the year. In the back half of the year, most of these are 30,000 square feet or above. So, we do expect more productivity, especially as we open them during holiday season and see more attachment to our brand, especially some introduction into new markets that we have never been in before and make our name out there. So, I think the narrowing that you are seeing in the difference between top line and comp sales is what we expect out of performance for the new stores during the back half of the year.
Justin Kleber: Got it. Okay. And then just one more, following up, Jeff, on your comments about managing variable costs, I assume that’s store payroll, but maybe there is other elements within that bucket. But how do you ensure you aren’t sacrificing service levels by tightly managing payroll? Thank you.
Jeff White: Yes, it’s a really good question. I would tell you that our store operator, Shane Miller, does a phenomenal job managing sales per labor hour, but also managing his customer satisfaction score. So, those are two items that we track at a very granular level that, as we think about turning down the lever on variable payroll, we are going to continue to make sure that those customer satisfaction scores are meeting our standards of excellence that we are requiring out of the stores. Outside of store payroll, there is some variable labor in the DC. Obviously, we mentioned some of the peel back on receipts as demand has slowed down. That obviously helps us offset some of the variable labor in the DC. And then outside of that, we also are going to keep monitoring discretionary spending items that may not need to be done this year and could be postponed or extended for a future period. So, those things all added together are the levers that we look at as we look at variable costs.
Justin Kleber: Alright. Thank you. Appreciate all that color. Best of luck guys.
Operator: Our next question is from Peter Keith with Piper Sandler. Please proceed with your question.
Matt Egger: Hey. This is Matt Egger on for Peter. Thanks for taking our question. First one from us, just curious as how you are thinking about maintaining or growing the share, given the environment where grilled and apparel, etcetera, are all challenged? Obviously, and those had a boost, but just curious if the overall holistic view of how you are thinking about maintaining or taking share? Obviously, well – e-com has done really well, but maybe anything else to share along e-com and omnichannel as well, that would be great?
Jeff White: Yes, it’s a good question. As we look at the growth and continual customer capture of the company, I think the organic growth through our new stores, we are entering a couple of new markets. We are first state in Ohio, so that’s the place we have never been before. So, that’s a new customer to us. And then Jon had mentioned the continual increases in traffic and sales driven through our e-commerce as well as our ability to market to them. Our digital marketing is something that we have effectively had turned off for the last 2 years. So, as we ramp that up and turn it back on and get more into a normal cadence, reengaging with some of the e-mail addresses that we have gathered over the last few years and telling customers who we are, what we have and kind of broadcasting that story, to us, those are the keys for us to continue to drive market share gains and customer growth over the back half of the year.
Matt Egger: Okay. Great. And then just back on the store growth, I know you said you don’t want to provide anything on 2023, but are you seeing any permitting delays or HVAC issues or anything else that might impact store growth in the near-term? Thanks.
Jon Barker: Hey Matt, it’s Jon. You hit right on. There is actually a couple of things that we are having to navigate, but we have been navigating those for a couple of years now. And we have had to get better at forecasting the openings as it relates to certain components of construction such as HVAC units for the roof, fire suppression panels. There is a handful of things that the lead times have definitely been longer, but our team has been able to navigate through them and has a pretty good handle at this point on ensuring that our construction cycle aligns with the components availability in the supply chain.
Operator: We have reached the end of the question-and-answer session. And I will now turn the call over to management for closing remarks.
End of Q&A:
Jon Barker: Thank you. As we close, I want to thank you for joining the conversation today. And thanks to all of the dedicated employees around the country for their commitment to making Sportsman’s Warehouse the leading company in the outdoor industry. Together, we look forward to continuing to serve our customers. Thank you.
Operator: This concludes today’s conference, and you may disconnect your lines at this time. Thank you for your participation.